Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to the Wingstop Inc. Fiscal Third Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note that this conference is being recorded today, Wednesday, October 26, 2022. I would now like to turn the conference over to Ms. Susana Arevalo, Vice President of FP&A and Investor Relations. Please, go ahead ma'am.
Susana Arevalo: Thank you and welcome to the fiscal third quarter 2022 earnings conference call for Wingstop. On the call today are Michael Skipworth, President and Chief Executive Officer; and Alex Kaleida, Senior Vice President and Chief Financial Officer. Our fiscal third quarter 2022 results were published earlier this morning and are available on our Investor Relations website at ir.wingstop.com. Our discussion today includes forward-looking statements. These statements are not guarantees of future performance and are subject to numerous risks and uncertainties that could cause our actual results to differ materially from what we currently expect. Our SEC filings describe various risks that could affect our future operating results and financial condition. We use certain non-GAAP financial measures that we believe can be useful in evaluating our performance. Presentation of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are contained in our earnings release. Lastly, for the Q&A session, we ask that you please each keep to one question and a follow-up to allow as many participants as possible to ask a question. With that, I would like to turn the call over to Michael.
Michael Skipworth: Thanks, Susana, and good morning, everyone. Thank you for joining our call. At Wingstop, we have carefully constructed our strategies with the technology forward and growth oriented mindset. And that is precisely what has enabled the success of the model in our industry leading growth. That is what has fueled our culture, how we behave and the core values that are at the forefront of every decision at Wingstop. Our strategy is built upon a foundation rooted in both living the Wingstop way and investing in people is our competitive advantage. This enables our core growth pillars, so preserving our culture is key. In our last earnings call, we signaled to our second half of the year story. We are pleased with our third quarter results, results that demonstrate the resiliency of the Wingstop brand and the impact of our strategies as we reversed the trend we saw in the second quarter and deliver strong results across the board. This has us well on our way to delivering our 19th consecutive year of same-store sales growth. In the third quarter, domestic same-store sales growth was 6.9% with the majority of this driven by transaction growth, and that translates to 36% growth on a three-year same-store sales basis. System sales increased 17.7% to approximately $700 million. We opened 40 net new restaurants in the quarter and saw unit growth of 13.5%. Company-owned restaurant margins sequentially improved over the prior quarter as we continue to benefit from meaningful deflation our core commodity bone and chicken wings. Adjusted EBITDA increased 33% to $28.4 million. I would like to spend a couple minutes to provide insights on our quarter trends and detail on the sales driving strategies we executed against in the third quarter. At our Investor Day earlier this year, we outlined the strategies we are working towards to continue to sustain same-store sales growth and provide a clear line of sight into increasing AUVs above $2 million. During the third quarter, we made exciting progress against several of these self-driving levers. We expanded our delivery channel, advanced menu innovation with the launch of our chicken sandwich. And we continue to drive brand awareness with an elevated level of national advertising spend. These are not just current quarter drivers for our business but strategies that we believe have staying power. Let me briefly touch on each of these strategies, starting with chicken sandwich. We launched our chicken sandwich on August 29. Our mission at Wingstop is to serve the world flavor. So we didn't offer only a plain and spicy version. But we gave our guests a variety of 12 chicken sandwiches sauced and tossed in any one of our bold, distinctive flavors. And our sandwiches are offered at a compelling value $5.49 for the ala carte sandwich and a dip and $7.99 for the combo, which includes a drink, fries and a dip. We anticipated that our chicken sandwich strategy would bring new guests into the brand and capture additional occasions. But we did not expect to see the incredible demand that we saw in our initial launch. Our initial launch sold out of four weeks of supply in six days, demonstrating the long-term opportunity we believe we have with chicken sandwich. After rebuilding supply, we relaunched chicken sandwich in early October with a more measured approach to ensure we went over all these new guests were bringing into the brand by providing a great guest experience. We started the relaunch without advertising support and have gradually phased in media through the month of October, only a few weeks into the relaunch and we're pleased with the results, seeing the chicken sandwich mix in the high single-digits range. That is over two times what we saw in our market test and at these mixed levels, chicken sandwiches proving that can drive more Wingstop occasions and play a role in building brand awareness. We also see chicken sandwich as a way for us to further drive boneless mix in our restaurants and can see a path to boneless mix exceeding 50% of our total mix, which will play a key role in advancing our supply chain strategy. With a higher boneless mix, we can see a future with food costs in the low 30% range and will only further strengthen our industry leading unit economics. Another self-driving lever that we execute against was the addition of Uber Eats as a delivery provider. In July, we launched Wingstop nationally on the Uber Eats platform, and with little advertising efforts, sales proved to be highly incremental and were in line with our expectations. We're excited about the partnership with both leading delivery service providers Uber Eats and DoorDash to capture incremental occasions. We believe we are in the early stages of building our delivery channel. And as we benchmark to more established off-premise businesses where their delivery channel is upwards of 50% of sales mix, we see a path with significant growth in front of us in this channel. The third strategy I want to touch on is expanding brand awareness. We have made great progress and increasing our brand awareness last few years. Yet our gap to national peers still remains a significant opportunity for us. At the start of the second quarter, we converted the local 1% advertising fund to our national ad fund bringing our national ad fund contribution rates of 5%. This 1% increase combined with our growth and system sales has provided a meaningful increase in the amount of ad fund dollars we can invest. Historically, we had concentrated the majority of our local dollars in the July and August timeframe. Q3 represented our first quarter lapping our historical local media investment window with the increased national spend. Not only does this give us the opportunity to drive these dollars more efficiently, we're also able to invest in more premium placements such as live sports like the NFL, where you've likely seen a show up. This elevated level of investment will continue into Q4. And with our continued growth in system sales, we are on track when additional step up in 2023 in our advertising investment that provides the firepower to drive brand awareness. We're excited about the strategic levers we are pulling to sustain same-store sales growth. As we exited Q3, the impact of any 2021 pricing has tailed off, and our sales growth was driven entirely by transactions, which is a true signal of the underlying momentum in our business. We also believe it highlights the unique long-term sales driving levers we have as the brand. We continue to strengthen our competitive advantage with a best-in-class digital platform. While you're starting to see consumers resort back to their pre-pandemic behaviors, our digital business has sustained above 60%, demonstrating the stickiness of our new guests. We're committed to our aspirational goal of 100% digital transactions where we enjoy a $5 higher average check. This continued expansion of our digital business allows us to continue to build upon our first-party database that's over $30 million strong. Sales-driving levers such as menu innovation through the chicken sandwich is another opportunity to capture new guests and further expand our digital database. Another important aspect of our growth story is global development, where we have a long-term target of over 7,000 restaurants. We opened 40 net new restaurants during the third quarter, which brings our total to 167 net new restaurants through the first nine months of this year. That's a 13.5% growth rate with both our domestic and international business on track to have record restaurant development for 2022. And our global pipeline has further strengthened, which as we look ahead into 2023 positions us for another strong year, with average unit volumes of $1.6 million and an initial investment of approximately $400,000, our brand partners are seeing cash-on-cash returns averaging 70%. These cash-on-cash returns have continued to strengthen this year, as we are one of the few brands experiencing significant deflation in 2022. This is driving quite a bit of excitement among our brand partners. As we sit here today the earnoberry price for jumbo Bone and Wings is $1.05 per pound, and represents a year-over-year cogs improvement of over 1,000 basis points. We are also seeing breast meat prices come down from their highs earlier this year, and continue to see leading indicators that suggest the favorable commodity backdrop for the balance of this year and into early 2023. Despite the challenging macroeconomic backdrop, Wingstop remains well positioned to deliver another industry leading year driven by our simple operating model best-in-class unit economics, levers to sustain same-store sales growth and record unit development. As the industry is navigating 40-year high inflation forcing other brands to take price to manage margins, while consumer sentiment is shifting. Wingstop is different. We are in a position where we do not necessarily have to take price. We have a proven playbook where we lean into that indulgent Wingstop occasion, presenting our guests with value that has allowed us to successfully navigate prior economic cycles. Additionally, we have a lot of runway in front of us to bring new guests and capture new occasions with strategic growth levers such as expanding our delivery provider base, and menu innovation like our chicken sandwich. We believe this highlights the opportunity we have in front of us here at Wingstop and a long-term growth story. We are reiterating our guidance of low single-digit same-store sales growth for 2022, which would mark our 19th consecutive year of same-store sales growth. And with the visibility into our pipeline at this point in the year, we are raising the low end of our estimate and now expect net new restaurant openings to be between 225 and 235, putting us in a position to exceed our 10% plus development target. I couldn't be more excited about how the back half of 2022 is playing out for Wingstop. Just a few weeks ago, we held our brand partner convention. At our convention we outlined the strategies we are executing against to deliver this next phase of growth for Wingstop. And I couldn't be more excited with the shared vision and confidence our brand partners have in Wingstop. Our unit economics continue to strengthen against the backdrop of meaningful deflation in our core commodity. We have clear line of sight to $2 million plus AUVs and strategies that will help us navigate uncertain times ahead. We remain confident in our strategies that will reward our shareholders, franchisees and team members as we continue on our path to become a top 10 global restaurant brand. Before I hand it over to Alex. I want to thank our brand partners, our team members in the restaurant and the team members at the global support center for all their incredible work and commitment that has put us in a strong position to deliver another industry leading year for Wingstop. With that, I'd like to turn the call over to Alex.
Alex Kaleida: Thanks, Michael. And good morning. As you just heard from Michael, the third quarter demonstrate the strength of our long-term strategies. We delivered a 17.7% growth in system-wide sales in the third quarter, which now totaled $2.6 billion on a trailing 12 month basis. We grew royalty revenues, franchise fees, and other revenue by $7.5 million in the third quarter, driven primarily by 215 net franchise openings since the prior year comparable period, and a 6.9% increase in domestic same-store sales. As we signaled in our last call, we reverse the trend we saw in the second quarter, delivering a third quarter comp that's largely driven by transaction growth. Company on restaurant sales totaled $20.2 million in Q3, an increase of $2.3 million, primarily due to a 4.3% increase in same-store sales and nine net new restaurants versus the prior year comparable period as we continue to execute our Manhattan expansion strategy. Our unique position with meaningful deflation is illustrated in our corporate restaurant margins. Cost of sales excluding pre-opening expenses, and as a percentage of company on restaurant sales decreased by more than 900 basis points compared to the prior year, mainly driven by a nearly 1,100 basis point decrease in food, beverage and packaging costs a 150 basis point decrease in labor, which were partially offset by higher rent and other operating expenses in our New York City restaurants. We are pleased to see this sequential improvement in restaurant margins this year, which for the third quarter benefited from a 43% decrease in the cost of bone and chicken wings. Based on everything we know today, we have a favorable commodity outlook, not only for bone and wings, but also for breastfeeding, which we believe will continue into early 2023. The significant deflation and weighing prices. The recent declines in breastfeed prices, along with our sales traverse will further strengthen unit economics. For modeling purposes and company restaurants, we estimate food costs to be 35.5% in the fourth quarter. As a result, we now anticipate company-owned restaurant costs of sales in the fourth quarter to be approximately 75%, which is an improvement of 1,000 basis points versus the fourth quarter and 2021. In the third quarter SG&A increased by $1.7 million, versus a comparable period prior year to a total of $16.7 million. Driven by investments and talent in strategic projects to support the long term growth of the business. This is partially offset by a year-over-year decrease in stock compensation expense. Adjusted EBITDA a non GAAP measure was $28.4 million during the quarter, an increase of 33% versus the prior year. Adjusting for non-recurring items we delivered adjusted earnings per diluted share a non-GAAP measure of $0.45, a 55% increase versus the prior year. Our highly franchised asset light model continues to deliver strong free cash flows. As of the end of the third quarter, we had $539.7 million in net debt. Our net debt to trailing 12 months adjusted EBITDA was at 5.7x, which is almost half a turn lower than at the end of the second quarter, which underscores our ability to quickly deliver through a combination of adjusted EBITDA growth and strong free cash flow generation. We also are maintaining a strong cash balance that stands at over $170 million. This cash positions us to be opportunistic to support our supply chain strategy, as we continue to explore options to take greater control of our supply chain. We remain committed to driving shareholder value and returning capital to shareholders through our regular quarterly dividend. Our Board of Directors has declared a dividend of $0.19 per share of common stock, a demonstration of the strong cash flow generation and strength of our business. This dividend totaling approximately $5.7 million will be paid on December 2, 2022 to stockholders record as of November 11, 2022. Shifting to our outlook for 2022. We're reiterating our guidance for same-store sales of low single-digits and we're updating our guidance for net new units to a range of 225 to 235 from prior guidance of 220 to 235 for the full-year. This translates to unit growth of 13% to 13.5% versus the prior-year. We're also lowering SG&A guidance to a range of $68.5 million to $70.5 million from our prior guidance of $70 million to $72 million including stock-based compensation expense of approximately $6 million. We're increasing our diluted earnings per share guidance of between $1.61 to $1.63 from prior guidance of $1.55 to $1.57. Our updated outlook for 2022 reflects our confidence in the second half of the year story for Wingstop supported by the same strategies we are pursuing to achieve our vision of becoming a Top 10 global restaurant brand. With that, I'd like to now turn to Q&A. Operator, please open line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from John Glass with Morgan Stanley. Please go ahead.
John Glass: Thanks. Good morning. I'm wondering on the chicken sandwich a few things first, Michael, if you can just talk about what the contribution actually was to the third quarter recognizing it was there briefly, but it also sold out. So maybe are we over indexing to that right now? Or as we look at the third quarter and can you talk about the dynamics and how it impacts check, is it the kind of thing that drives traffic? But it's dilutive to check or how is it purchased I guess and how is it influenced not just traffic but check as well please.
Michael Skipworth: Hi, John, good morning. Thanks for the question. What I would say about chicken sandwich is the reality within the third quarter itself. We had the chicken sandwich available for only six days. Clearly, we saw the potential for chicken sandwich for our brand and really the long-term opportunity that we have there and really a permission for guests -- from guests for us to play in that space is something we're really excited about. But there's not really anything I would call out materially as it related to the overall quarter for chicken sandwich. But what I would point out is, is it was another demonstration of the opportunity that we have to drive brand awareness. And the gap we have to other national brands, which is still significant. And so, as we launched chicken sandwich, we really leaned in with our full advertising muscle. And we launched it all the way from inclusive of National TV, to influencers to social, to even PR campaigns around giving away 100,000 free sandwiches. And so really hit it hard. And what we saw was, was almost a halo effect to our overall business where we saw the entire business, all channels really see growth while we were out driving awareness around the brands and something we're really, really encouraged about. And we see that not only as a long-term sales driving lever for us. But we also see it playing a meaningful role for us in our supply chain strategy. You heard in our prepared remarks, the mix levels that we're seeing today, we see a path where total boneless mix can exceed 50%. And if those levels we see a path to food costs in a low 30%, which I know you're familiar with our story and the unit economics, John, that's really compelling when you think about what that can do for our brand partners returns. We did see similar to our test market, we did see the chicken sandwich bring in a lot of new guests. And with that we thought mix nicely on the lunch daypart. And so there were some individual occasions with these new guests that we brought in that we were able to capture that did have a little bit lower average check. But again, it wasn't a significant number that I would call out on the quarter itself.
John Glass: Thank you for all that. And Michael, just to follow-up on what you just mentioned on this path to getting food costs down to the low 30s which I think is pretty remarkable just given how profound that would impact unit economics, what is the key driver to that the chicken sandwich. Is that part of the boneless strategy? Is there something else like you're just talking about boneless wings? And is there a timeframe you think about when that can occur? Is it in the next couple of years? Is that a very long-term strategy? How do you think about how that can materialize?
Michael Skipworth: Yes, absolutely. I think it's all of that, John, it includes the sandwich or boneless wings or tenders in, we have regions, we have restaurants today that have boneless mix in excess of 50%. And do enjoy food costs today in the low 30s. And so it is happening. But for the broader system, we do see this as an opportunity. And again a long-term driver for our brand, not just a current quarter hit but a long-term driver to continue to drive chicken sandwich mix. From there, a lot of these new guests that we're bringing in are also users of tenders that we see opportunity there. And so we can see over time as we continue to bring in these new guests, convert them to Wingstop users the opportunity to for that mix to continue to drive.
John Glass: Great. Thank you. Thank you very much.
Michael Skipworth: You bet.
Operator: The next question will come from David Tarantino with Baird. Please go ahead.
David Tarantino: Hi, good morning, a couple of questions. First on the Q4 comps outlook, your full-year range of low single-digits kind of leaves a pretty wide range of outcomes possible in the fourth quarter. So I was hoping that you could comment maybe more specifically on what your expectation is for the quarter, in broad terms especially now that it doesn't seem like you're running much pricing across the system?
Michael Skipworth: Yes, David. Good morning. Thanks for the question. We're pretty excited about the work the team has executed against both here at the GC and our brand partners around reversing the trend that we saw in Q2, and as we progressed through Q3, we saw the comp sequentially improved throughout the quarter. And it was really as we began to execute against these sales drivers that we called out in our prepared remarks, and also leverage the benefit of this elevated ad spend that we have year-over-year, not to mention a balanced message around value, which we think is really important in this environment. And we did talk about as we exited Q3, we saw the impact of 2021 pricing trail off, and basically our entire comp, being fueled by transaction growth, which is something we're really excited about what we believe is really a true demonstration of the underlying strength and momentum in our brand. Well, we did comment about with chicken sandwich mix through the first few weeks of October, seeing that in the high single-digit range. And really what we've seen in the comp David through, I guess the first few weeks of October is continued strength in that transaction growth and where we're sitting and where we kind of expect October to finish up is around the 6% comp. That said, we we're confident in our ability to deliver on our target of low single-digit, same-store sales growth, particularly something we're proud about, particularly when you think about the challenging macro environment that we're in and doing that in a way that's really fueled by transaction growth.
David Tarantino: Great, that's very helpful. And then one quick clarification on the high single-digit mix for the chicken sandwich, how much of an incremental sales is that for your business? I assume maybe some of that's not incremental. But how would you characterize the lift that you're seeing at that level of sales mix?
Michael Skipworth: Yes, well in a little bit earlier in that we've kind of seen the chicken sandwich sales that we're seeing be highly incremental, we're really seeing a combination of two things here, David, one is bringing in a lot of new guests, which we're really excited about. But then we have a lot of existing Wingstop users who are adding chicken sandwiches on to their existing wing occasion. And so we've seen it be highly incremental, and something we're really excited about, particularly when we think about the long-term potential for the brand. And we've talked about this in the past, David, where we've often with our wing focused offering, I've had to navigate that Veto vote literally believe offering a chicken sandwich, which is a pretty universal occasion for just about anyone that's really good to have an opportunity to address some of those issues we've seen in the past, in the past, and again provides us a lot of confidence, not just for this quarter, but that this is something we're going to be able to build on as we progress through the balance of 2022 and in 2023.
David Tarantino: That makes sense. Thank you very much.
Michael Skipworth: Thank you.
Operator: The next question will come from Jeffrey Bernstein with Barclays. Please go ahead.
Jeffrey Bernstein: Great. Thank you. Two questions. The first one, just following-up on the comp trends. Sounds like you mentioned, trends improved sequentially through the third quarter, and you've given us some insight into October. Just wondering whether you see any signs of a slowing macro. I know, you guys talk about 30% plus of your sales and maybe lower income. And recognizing that clearly down from where it was five plus years ago, which is a net positive, but just trying to get a sense for what you would be looking for and your comp in the traffic or in the mix or anything like that. I know you said you have 30 million plus database users. So whether that's your toolbox to kind of assess trends by customer. Just trying to get a sense if you're seeing any sort of a macro slowdown at all within that very strong comp? And then I had one follow-up.
Michael Skipworth: Yes, Jeff. I think we're in a pretty unique spot at Wingstop where, we -- if we look at certain geographies, certain income levels, we can see less growth. But we really have two elements that play in our brand that that I think really strengthen our positioning. And one is, is that proven value playbook. And if you think about how consumers engage with our brand, it's really our frequency is about 3x a quarter, it's an indulgent occasion. And usually when consumers are starting to feel pressure, or they want to pull back, they most immediately look at more high frequency occasions such as QSR, 4x to 5x a week visits and will pull back there. And as long as we're presenting them with value, we've been able to retain those and build in occasions. But then in addition to that, I think what we demonstrated in the third quarter is the opportunity we have around just bringing in new guests, whether that's closing the gap on brand awareness, whether it's capturing these chicken sandwich occasions, or even the addition of an additional delivery service provider such as Uber Eats, that's allowing us to access a consumer base that we weren't previously offering Wingstop to. And so we have these two elements working in concert, if you will, and all supported by a significant increase in our ad fund dollars that we're able to invest this year that that really help us to have confidence in our outlook for 2022. Despite any pullback from the broader consumer or any recession concerns that are out there.
Jeffrey Bernstein: Understood. And then my follow-up kind of a follow-up from last quarter. I feel like I asked the same question, but I think it's just as relevant. Now in terms of the conversations with franchisees, I think you mentioned you just had a franchise convention. So I'm sure it was pretty upbeat. But any sign that the difficult broader operating environment, or perhaps rising rates, may temper at all the appetite for new unit growth into '23. I know this year, you were raising the range, and [indiscernible] to the upper end. So we're talking about 13% to 14% type growth. But I would think some franchisees might just be intimidated by the macro we're heading into and perhaps be a little bit more cautious. Just wondering whether you're seeing anything like that or whether we should expect another year next year of solid double-digit unit growth. Again, no formal guidance, but just any conversations you've had that would give you any kind of early intel?
Michael Skipworth: Yes, Jeff, I appreciate the question. We're really excited about having delivered for the first three quarters record unit development for the brand, not just in our domestic business, but also in our international business record pace of development for both areas there, which we're really excited about. And we did comment in our prepared remarks that on our -- on the tails of that record pace of development, we actually sit here today with a stronger pipeline than we did this time a year ago, which I think really speaks to brand partners sentiment, their excitement around reinvesting and continuing to grow with Wingstop. And I really think that is, if you will the exclamation point on the fact that we've not only been able to benefit from call it low to mid 30% increase in sales over the last three years. But we sit here today with meaningful deflation in our business. And so right now, our unit economics are about as strong as they've ever been. And as we indicated, these leading indicators we watch around poultry seem to suggest through the balance of this year and in the early 2023, we should have a favorable commodity backdrop, which is really encouraging. And the last element I would add to the Wingstop development, and we've talked about this before Jeff, is there's not a lot of leverage on the businesses for our brand partners. A lot of them use existing cash flow to reinvest and drive their growth. And so leverage rates is not a common conversation that we have with our brand partners. And I think knowing that the rising rate environment that that we're in right now doesn't give us a lot of concern around our ability to continue to deliver on our long-term algorithm of double-digit development growth.
Jeffrey Bernstein: That's great. Thank you.
Michael Skipworth: Thank you.
Operator: The next question will come from Jared Garber with Goldman Sachs. Please go ahead.
Jared Garber: Great. Thanks for the question. Sort of wanted to follow-up on the development conversation and the unit growth conversation that you just touched on a bit. Wanted to get a sense of maybe how the third quarter unit growth numbers sort of tracked versus your internal estimates as they came in a little bit below where we had been expecting, but at the same time you maintained and even to a degree raised your full-year outlook on unit growth. So just want to get a sense of maybe how the third quarter played out and what gives you the confidence for the level of opens that you'll need to see in the fourth quarter. And then I guess beyond that, what the returns I mean, they mean your returns sort of speak for themselves with the phenomenal returns, and the top-line continues to grow. So I guess what -- the question really is, what's the path towards accelerating unit growth from here? And how -- what are the conversations you're having like with franchise partners, maybe larger and more sophisticated partners to take this brand on a more accelerated unit growth path? Thank you.
Michael Skipworth: Yes, thanks for the question, Jared. I would say, as far as the development, I would say everything really from our perspective is right on track. We provided an updated, raised our outlook last earnings call and as we progress through the year, we've tightened that estimate only by raising the low end as we have good visibility, what development looks like for the balance of year. So from our perspective, everything's on track. And we're really excited about our outlook in the reality that we're going to deliver a record development year for the brand. I think that's a really strong statement when you particularly think about the broader macro and the operating environment that we're delivering that and I think that really speaks to this to the strength of the brand. And we're pretty proud of that range translate into a 13% to 13.5% unit growth. And I think that's pretty strong. As it relates to accelerating growth, I think it's happening, and you are seeing brand partners reinvest. We are seeing their national start to play a bigger part of our development story. I mentioned earlier, internationals on pace for record development year, there's a lot of excitement around the globe for expanding with Wingstop. And I think as we progress, that international story is going to be a bigger part of our development in something we're really excited about. And we're constantly having conversations with large scaled operators who are interested in Wingstop. But the reality is we've got a lot of existing brand partners that are excited to grow. It's a really efficient way for us to grow, they know the brand we know them. And where we're really excited about continuing the growth, our existing brand partners. Again, a strong testament to the returns that they're seeing and their desire to continue to reinvest.
Jared Garber: Great, thanks. And then I guess just following-up quickly. Is there any outlook you can provide on what that development pipeline looks into '23?
Michael Skipworth: Yes, I think we commented earlier how it's strengthened from this time a year ago. And so the pipeline strong. And we're excited about finishing this year out strong and there's nothing in front of us that would lead us to believe we're not going to deliver another strong year in 2023.
Jared Garber: Great. Thanks so much.
Operator: The next question will come from Jon Tower with Citi. Please go ahead.
Jon Tower: Great. Just two quick ones for me. The first I was wondering, just following-up again on the unit development pieces that's happened. We've heard from a handful of other operators, some issues around opening new stores, whether it's securing the proper equipment or getting permitting, and you guys don't seem to be hitting any of that any of those roadblocks. I'm curious how you and your franchisees been able to navigate around these issues?
Michael Skipworth: Hey Jon, I appreciate the question. I think a lot of other brands, if you think about their asset, it could involve a scrape and build out on the pad, it could involve a much more involved build. Whereas if you think about our asset, it is in line, it's a sale that we're building out. And it's extremely efficient. And I think that's what allows us to enjoy really low initial investment, on average, $400,000 and deliver those great returns on that efficient box. We have been extremely proactive in engaging with equipment suppliers, just ensuring that the equipment is there to support our pipeline, whether that's us, leaning in securing bank suppliers as an example. And so we've taken a really proactive approach and trying to help mitigate any issues related to supply chain, but I think it's those two things are probably what are helping us shape up to have another record development year despite the challenging macro backdrop.
Jon Tower: Okay, so even thinking about next year, there doesn't seem to be anything popping up, that you're saying, would be a reason to believe growth would slow on an absolute basis?
Michael Skipworth: That's right.
Jon Tower: Okay. And then just following up on the COGS commentary about potentially moving down to 30% of your time, which is great to hear. I'm curious, I mean you've already got best-in-class unit growth. And the question from there is kind of much higher from your given potential, say, human capital constraints for franchisees even opening new stores. So, I guess it then back to the question of, is there other aspects of the business that franchisees can be investing in? That maybe it's directly within their own P&Ls or perhaps are you do you think that better line of sight and getting to 30% food costs over time potentially accelerates the willingness of franchisees to buy into doing the supply chain co-op?
Michael Skipworth: Yes, I think there's a couple of things here, John, I would point out. One is, we know continuing to protect and enhance our unit economics is, if you will a central pillar to our long-term strategy of delivering on the opportunity we have here, roughly 1,900 restaurants today expanding this brand over 7,000. And so the more we enhance and protect those unit economics, the increased confidence, we're having an opportunity in front of us. There obviously will be areas where our brand partners will need to invest over time. One of them that we're seeing right now is as, as our existing brand partners scale, they're making investments in their above restaurants support their infrastructure. And so continuing to enhance these unit economics don't allow or don't require or permit any of those investments to impact how they're going to deploy capital. And so there's, there are investments that are happening. And then as we scale the brand from here, as we continue to advance our supply chain strategy, we'll work closely with our brand partners to ensure that if investments are needed, they're clearly communicated with a business case behind them and in a way that won't impact our long-term target on unit growth.
Jon Tower: Great, thanks for the time.
Operator: The next question will come from Andrew Charles with Cowen. Please go ahead.
Andrew Charles: Hey, thank you. Michael, obviously very strong performance following the increase the national ad fund contribution back in May that's obviously being concentrated in the back half of this year. But can you remind us just contractually when the next 50 or 100 basis points raise to national ad fund contribution is up for grabs, to go to 5.5% to 6% of sales, and your level of confidence following like we mentioned few weeks ago that that [indiscernible] increase that contribution to continue to fuel the advertising trends you're seeing.
Michael Skipworth: Hey, Andrew, appreciate the question. When we went to increase the ad fund and convert that local 1% to national, we've worked through a franchise agreement amendment process with all of our franchisees and we presented the business case and we were extremely excited and I think this is somewhat unheard of in the franchising space that we obtained 100% of signatures needed to enact that that amendment and get the rate moved to a 5% national contribution rate. And as we sit here right now, Andrew, we feel pretty confident that that's given us a lot of firepower to continue to drive the brand. And continue to close the gap on the opportunity we have in front of us around brand awareness when we compare ourselves to other more mature national brands and the thing that's going to continue to fuel that fund and fuel growth is really going to come in the form of system sales growth, which is growing not only from same-store sales growth, but our unit expansion as well. And we believe that gives us a lot of firepower and just to continue to drive the business and deliver on our algorithm of same-store sales growth.
Andrew Charles: Okay, great. Thanks for that. And then Alex, just question on the 2022 guidance, you beat 3Q by more than you raised the full-year EPS. So, trying to better understand the implication for lower than expected 4Q and so you provide the restaurant margin guidance is encouraging and kind of curious as the 4Q guidance some hefty deterioration in underlying three year same-store sales trends for 3Q to 4Q, recognizing that you're going over that 5% price increase from a year-ago, or perhaps a higher tax rate in 4Q than 3Q, just love some help kind of as we see through the mechanics.
Alex Kaleida: Good morning, Andrew. Thanks for the question. Yes, I wouldn't necessarily point to the same-store sales estimate, we're still delivering three year comp in that low-30%, low to mid 30% range from the same-store sales standpoint. So I think it really points to what you've seen historically from us with the cadence of our SG&A spend, and how that steps up from quarter three to quarter four, pointing to just the investments we're making in headcount and strategic project investments.
Andrew Charles: Okay, thank you.
Operator: The next question will come from Jeff Farmer with Gordon Haskett. Please go ahead.
Jeff Farmer: Thank you. You and a lot of your peers have seen some reduced frequency from that lower income consumer. But have you seen check management or any other indication of changing behavior from the balance of your consumer segments?
Michael Skipworth: Hey, Jeff, appreciate the question. We clearly indicated in our comments that we've seen the contribution of 2021 pricing trail off, particularly as we exited the third quarter and really what's driving that is two things. One is, and I guess overall, it's really just our business is remixing a little bit, we're seeing some nice organic growth in in our dynamic business. If you recall did carry a lower average check associated with it. And then earlier, I called out these, some of these new chicken sandwich occasions that we're bringing in do have a slightly lower average check associated with them as well. And so we're seeing a little bit of a remixing of the business as some of those elements come into play. But the deterioration of the ticket contribution or check contribution, and our comp isn't anything as it relates to the consumer trading down. We're not seeing that in our business really in any way.
Jeff Farmer: Okay, that's helpful and then unrelated staffing shortfalls. I know that varies from sort of market-to-market and restaurant-to-restaurant, but have staffing shortfalls prevented any of the company or franchise restaurants from fully meeting demand, I guess in other words, do you feel are any of these restaurants or regions markets leaving sales on the table because stocking levels aren't quite back to where you would like them?
Michael Skipworth: No, Jeff, we're actually pretty encouraged with what we see out there from a staffing perspective, it's gotten much, much easier than it was a year-ago. And we're not seeing that constraint restaurant volume and I think as you look at opening 167 net new restaurants through the first nine months, it's not restricting our ability to expand our footprint either. And I really just think that that highlights the efficient labor model that we deploy, you can run a Wingstop at our average unit volume of 1.6 million, with as few as three to four team members in there and the overall roster is clearly much smaller than what a lot of other brands have to operate within their assets, and so I think that helps us navigate and feel less of an impact from any sort of staffing issues out there, if there are any that, that continue to persist.
Jeff Farmer: Okay, helpful and thank you.
Michael Skipworth: You bet.
Operator: The next question will come from Andy Barish with Jefferies. Please go ahead. Pardon me, Mr. Barish, you may be muted.
Andy Barish: Sorry about that. Yes. Actually just wondering on, as you talked about sort of the amount of sequential improvement, I guess, if you went through the 3Q, and obviously, September higher than what October is running. So just trying to kind of match all of that up with -- what happened with only the week of chicken sandwich and everything kind of surrounding that, I guess?
Michael Skipworth: Sorry, Andy. I think we had a couple of levers we were pulling prior to chicken sandwich launch in the six days, and we did obviously see a really strong surge in demand in those six days, which resulted in us selling out of four weeks of inventory. But what we saw was a pretty consistent trend, as we progress where the contribution of check trailed off sequentially in the transaction contribution built in again. We were running at a really strong number, when you include six days of chicken sandwich in September, but obviously, would point to the fact that it's fueled by transaction growth. And as we continue to navigate this environment, as we continue to execute against these growth levers strategies, we feel pretty confident and excited about our ability to deliver that 19th consecutive year same-store sales growth. And as we thought about the relaunch of chicken sandwich, I mentioned earlier how we fired just about every bullet we had with the initial launch in and we saw the opportunity, and we saw how many new guests we were bringing in. And so with the relaunch, we took a much more measured approach. I referenced in our prepared remarks where we intern the chicken sandwich on and for the first week, we didn't even support it with advertising. And then from there, we've advanced the ad support, ensuring that this opportunity we have been bringing these new guests into Wingstop, that we win them over and convert them to loyal Wingstop users and see that as a really nice long-term sales driving opportunity for us. And I think that's consistent with how we've approached things historically, where we take a very measured approach. We're very intentional and we liked the position that it puts us into to continue to deliver strong growth, regardless of the challenging macro environment.
Andy Barish: Got you. And then just looking to '23, I mean, anchoring around that kind of mid single-digit number that you talked about in the algorithm. I mean, is that, should we be thinking of that as primarily traffic driven growth as we try to look at our model for next year?
Michael Skipworth: Yes, Andy, I know, we will come out obviously early next year with more definitive comments around 2023. I think as we sit here today, we've referenced this meaningful deflation that we've benefited from as a brand this year, which has really put us in a unique spot where we haven't had to take price this year. And a lot of other brands have and they've had to take a lot of price to navigate this record inflation. When you're seeing that drive a lot of their comp and you're seeing it impact start to impact transaction growth. And we're obviously not in that position. But all things equal, I would expect in 2023 as for us to revert back to maybe our more historical trend around pricing, and that is a very disciplined approach of one to two points of pricing year. But obviously we'll need to watch and see how things play out as we progress through the balance of 2022 and enter 2023.
Andy Barish: Thanks very insightful.
Michael Skipworth: You bet.
Operator: The next question will come from Nick Setyan with Wedbush Securities. Please go ahead.
Nick Setyan: Thank you. The pleasant surprise in the comp and Q3 seems to be that -- it was more broad based than just a chicken sandwich. Is there any way to maybe just parse out what the comp without the chicken sandwich may have been? That would be very helpful.
Michael Skipworth: Yes, Nick. I completely appreciate the question. And it's a little bit of a difficult one to solve. And we're kind of -- we're really bullish and excited about the quarter growth levers we pulled, but a great example to give you context on how to try to pull those apart is with our elevated ad spend, we were able to promote chicken sandwich on a new delivery platform. And so it's really hard to cheese apart, what drove the topmost. But what we can say is we saw a meaningful benefit in all channels. We saw transaction growth across the board. And something that we're really excited about, and we think is pretty unique in this environment, and gives us confidence to come out and reiterate our low single-digit target for this year, and deliver on 19 consecutive year of same-store sales growth.
Nick Setyan: And speaking of the Uber partnership, I think we went to like 62% in terms of digital sales in Q3. And I think this trough last quarter was 60.5% percent and how should we think about the digital mix from here? If we exit '23 in the mid 60% range? What are some strategies that you're looking on to drive that higher?
Michael Skipworth: Yes, Nick, I think our digital sales mix seen that continue to build and sustain from these elevated levels. It's another element or aspect that really differentiates Wingstop, where we can see and demonstrate that these new guests, these new digital guests that we brought in are sticky, and we're retaining those guests, whereas you're seeing a bit of a normalization to consumer dining behaviors, maybe back to more gravity, gravitating back towards pre-pandemic behaviors. And so a lot of brands are maybe not seeing that stickiness with their digital business. And we are which I think is a really strong statement. And we continue to see opportunity to drive and scale our digital business. We mentioned the addition of Uber Eats as a national delivery provider in the third quarter, that's something that we really haven't done a lot of ad support behind. We see a lot of opportunity not only there with DoorDash as well, when you benchmark our delivery business against other more established mature delivery businesses. There's a ton of runway for us. And so that is just one example of the opportunity we have to continue to scale and advance our digital business.
Nick Setyan: Thank you.
Operator: The next question will come from Dennis Geiger with UBS. Please go ahead.
Dennis Geiger: Great, thank you. I just wanted to ask about wing costs of bone and wing costs, given the deflation there. How we should think about sort of continued use of strategic discounting to drive further traffic going forward for the core boning, and I guess we could frame it up relative to boneless as well. But just anything on discounting and promotional lovers, which I think gives us pretty effectively in recent quarters. What that might look like into -- in the next year, if you have any high level comments on that?
Michael Skipworth: Yes, no, absolutely. I think we want to be really careful with the terminology we use here because as a brand, and I mentioned this earlier, we know Wingstop is used as an indulgent occasion. And it and if we, when we lean into value, we don't really discount as a brand. So when we lean into value, and so we're retaining those indulgent occasions, but then presenting the consumer with value, which can be a price point, it can be the cook to order element, it can be the craft, and in the attention to detail that goes into our ranch that's made from scratch in the restaurant every day. All of those elements contribute to the consumers perception of value. And so we lean into that and can promote things like the Boneless Meal Deal, which we did earlier this year. That really reverse the trend that we saw in the second quarter, and that Boneless Meal Deal was at a decent food cost for our P&L. It wasn't really at a discount. So we -- as a brand, don't discount, but we are intentional about how we think about and present the consumer with value, particularly in an environment where the consumer is being more discerning with their dining out decisions. Our ala carte chicken sandwich that can come in 12 different flavors presenting the consumer with a lot of variety. But yet presenting that at a $5.49 price point, or even the combo with fries and a drink at $7.99 is a compelling value. But then it also not only addresses value, and that value message that's important to retain our core, it's also bringing a lot of new guests. And so these are, these are long-term sustaining sales drivers that were activated and against that give us a lot of confidence in what's in front of us and in navigating in sort of macro challenges that play out.
Dennis Geiger: Appreciate that color very much. Just one other quick one, just on China any update to share there on the work you've been doing. On the development opportunity there, if there's been any changes or any kind of new commentary to share on that opportunity? Thank you.
Michael Skipworth: Yes, no, sure. I mean, China continues to be an opportunity for so we're really excited about, we continue to have active dialog with potential prospects to partner with in that region. That said, I wouldn't say anything's materially changed on our position there in the timing around it. Obviously, just having the Party Congress meeting conclude last week or earlier this week, we have to evaluate the implications and how that plays out. So we'll work through that. But I wouldn't say there's any meaningful update to provide at this time, other than it remains an exciting opportunity for us. But that's just one of the many opportunities we have around the globe. And we announced earlier where we sold the rights to South Korea, and we expect our first restaurant to open there in early 2023. Really excited about that opportunity. We continue to expand around that Southeast Asia region, in addition to the success we're seeing in Europe, particularly in the U.K., where we're 25 restaurants strong on pace for a record development year, and even with some of the challenging macro environment that the U.K. consumer is having to navigate our business there continues to demonstrate strong sales. And in fact, over the past couple of months, they've actually seen, margin strengthened. And so I think another really strong case behind our international growth story. And not only is our brand transportable around the globe, but the resiliency of our brand is showcasing itself in a challenging environment in the U.K., just to provide that example.
Dennis Geiger: Great. Thank you, Michael.
Operator: The next question will come from Michael Tamas with Oppenheimer & Co. Please go ahead.
Michael Tamas: Hi, thanks. You sort of touched on this a couple of questions ago, but your comments on delivery today have been pretty bullish. And you don't seem to be seeing a slowdown that others are experiencing or have talked about, that they might see in the near future? Is that because you added the second delivery provider that added incremental customers or can you help us better understand why you think this differential exists recognizing that some of those food delivery cuisines are also a pretty good value for the consumer? Thanks.
Michael Skipworth: Yes, no absolutely. I think there's a few things here and they kind of tie back to earlier comments. But clearly, one is expanding the delivery base and gaining access to a completely different delivery consumer has helped. But then you're also seeing just I mentioned the halo effect of some of the work we've done around national advertising leaning into that additional 1%. Where we commented, last quarter, we're expecting over 35% increase in the amount of ad dollars we can deploy in the second half of the year. And as the business is trending, I think it's going to be even higher than that, which we're excited about. And that's allowing us to bring in a lot of new guests where we're starting to lean in and activate on these delivery platforms. And so I think we are seeing new guest acquisition in these channels that's helping us continue to grow and see growth in the delivery channel.
Michael Tamas: Perfect, thanks. And then your average customer transacts with you about three times a quarter. And you mentioned that traditional QSR typically sees several times per week in terms of frequency. So can you talk about any research you've done or what you've seen so far with the launch of the chicken sandwich? And how maybe that platform could elevate your customer frequency going forward?
Michael Skipworth: No, I think it's a great point. A few weeks, and it's probably hard to get much of a read, particularly when you think about the frequency we just referenced with three times, three times a quarter being the average, but we do see it as an opportunity to capture more occasions and inherently in capturing more occasions, you're going to impact frequency. We talked about this being a long-term sales driver for the brand. And it's something that works in concert with a lot of the other growth drivers that we're pulling, and it's all these growth drivers in aggregate that that gives us confidence in our ability to scale our AUVs from $1.6 million today to what we believe we have a clear line of sight to and that is to exceed $2 million. And so driving frequencies or capturing more occasions is 100% part of that, that strategy that we're executing against.
Michael Tamas: Awesome, thanks so much.
Michael Skipworth: You bet.
Operator: The next question will come from Chris Carril with RBC Capital Markets. Please go ahead.
Christopher Carril: Hi, thanks and good morning. So I wanted to ask about longer-term strategy. So as you're looking at the changes across the menu, potential daypart expansion opportunities to drive transaction to grow awareness. Could that lead you to revisit your real estate and restaurant format strategy? Is there potential to focus more on real estate in higher traffic locations or different formats like drive thru just given how the business is evolving from here?
Michael Skipworth: I think it's an interesting question, but one that we really haven't seen the need to push very hard on in that we're $1.6 million AUVs today in a box that anywhere from 1,300 square feet to 1,700 square feet in line with the majority of our business off-premise. And so as you start to introduce complexities around an asset out on the pad, drive throughs, it starts to change the operating model, you start to add labor, you start to increase occupancy costs. And so as we talked about some more comments earlier, really making sure we protect and enhance these unit economics is something that's paramount for this brand, and what we believe will continue to fuel industry leading development. So we're going to stay true to that. And we see an ability again, to drive a these two levels above $2 million with the existing box we have today.
Christopher Carril: Right. Thanks for that. And then just on the rebate of the advertising funds, was that driven by just better than expected system sales? And maybe more restrained advertising of the chicken sandwich relaunch or going forward do you expect to kind of fully leverage that larger pool of advertising funds? Any clarification on that would be great.
Alex Kaleida: Hi, Chris. Yes, this is Alex. Yes, that was a function of last year, the better than expected sales growth. We built up a surplus and just for being opportunistic to return a component of that add funds surplus last year in the midst of record inflation. But to your point that gives us strong, even greater fuel going into next year with the growth and our system sales we have to continue to work against our awareness gaps to those top QSR peers out there.
Christopher Carril: Great. Thanks very much.
Operator: The next question will come from Joshua Long with Stephens Incorporated. Please go ahead.
Joshua Long: Great. Thank you for taking the question. I was just curious as we think about the opportunity for that boneless mix to go north of 50% over time. Pretty exciting when we think about the -- what kind of investments would be needed in that poultry complex to support that, assuming that you could get to that level across the overall system?
Michael Skipworth: Yes, I don't think it involves a fundamental change in our supply chain strategy. Really, what it's doing is allowing us to lean in a little bit more a little bit further on that whole bird strategy. And so as you use more of the breast meat, which is what is in our boneless products, it really allows you to have a lot more leverage and control more of the costs that go into the whole burden. So this is actually something that's accretive to our to our supply chain strategy and manually anything that would require incremental or additional investment or different ways to think about how we execute against our supply chain strategy. It's actually something that just bolsters it and gives us more confidence in the plan we're executing against.
Joshua Long: Very helpful. Appreciate that color. When we think about some of the ghost kitchen stores that your -- ghost kitchen units that you have, given that you've had some more time to work with them that. Could you provide an update on the strategy and the learnings, things that maybe might lead you to either accelerate, revisit or just kind of update how those fit into the overall unit growth strategy now that you expand your digital awareness in digital channel?
Michael Skipworth: Yes, no, I would say there hasn't been a significant change in our perspective on Ghost kitchens, we still have quite a few, I would say call it roughly 30 around the globe. And the majority of those are actually outside of the U.S. where we've seen great success and in deploying that efficient of asset type and help drive the brand outside of the U.S. And the U.S. results, as we've said before have had been mixed. There's some spots and some partners where it works really well others where it hasn't worked that well, when we think about the long-term potential for the brand that over 7,000 plus units. We do see a role for ghost kitchens, pretty consistent with what we've seen in the past. We don't see that being a huge component of our growth. But yet something we'll continue to monitor and evaluate as we progress from here, and continue to drive and deliver that on our long-term growth algorithm for unit development.
Joshua Long: Great, thank you.
Operator: The next question will come from Jim Sanderson with Northcoast Research. Please go ahead.
Jim Sanderson: Hey, thanks for the question. And congratulations on a great quarter. Just wanted to drill down a little bit more on the digital component of your business. I think you've mentioned an acceleration in digital sales mix was that delivery component of that ramp up as well, especially given the addition of Uber Eats?
Michael Skipworth: Hey Jim, I think that the point we were calling out around digital is that we did see it grow quarter-on-quarter. And if you think about that, in light of two things, one, that three mixing we saw of our business where we're seeing a little bit of diamond comeback, where we're seeing growth in all channels, carry out call in still growing there as well. It was encouraging to see that that channel grow. And then in addition to that, as you're starting to see consumers drift back towards maybe pre-pandemic dining behaviors. We're seeing a lot of other digital channels retract. And so CRS grow is something that we're really excited about. And I think, as I mentioned earlier, it really speaks to the stickiness of the digital growth that we've seen in our business over the last couple of years is something that we're excited to continue to build on in advance from here.
Jim Sanderson: Okay, so I think last year, you were mixing about 27% delivery. Is that still a good run rate? Or is that a little too aggressive?
Michael Skipworth: Hi, Jim. Yes, as we indicated in our Investor Day, this past year, we see a path, the benchmark suggests upwards of 50% mix. And that's what we're working towards and Michael touched on the opportunity to partner with both delivery service providers, another vehicle for us to build awareness in their marketplaces attract the new guests. And so we see a large runway ahead of us for the delivery business.
Jim Sanderson: Okay. Just one last question on the digital business. You mentioned about a $5 higher average check is that related primarily to higher menu prices for those delivery orders or a little bit of pricing and higher items just a little bit more texture? on what's driving…
Michael Skipworth: That checklist Jim is something we've -- we have enjoyed in our digital business, even before we had delivery as a channel so pricing on those channels isn't something that impacts that checklist.
Jim Sanderson: Understood. All right guys. Thank you very much.
Operator: This concludes our question-and-answer session as well as our conference call for today. Thank you for attending today's presentation. You may now disconnect.